Operator: Good afternoon, ladies and gentlemen, and thank you for standing by. Welcome to today’s EVRAZ First Half 2017 Financial Results Conference Call. [Operator Instructions] I must advise you that this conference is being recorded today, Thursday, 10th of August 2017. I would now like to hand the conference over for your first speaker today, Alexander Frolov. Please go ahead, sir.
Alexander Frolov: Thank you. Dear ladies and gentlemen, I would like to welcome you to our conference call to discuss financial and operating results of EVRAZ for the first half of 2017. I hope that you have had an opportunity to download the presentation that is available on our website, evraz.com, as we will be following it during the call. Additionally before I begin, I would like to remind everyone that the matters discussed on this call will include forward-looking statements that are subject to many factors, risks and uncertainties that are described in detail on the second page of the presentation. We undertake no obligation to update any forward-looking statements. Today, on this call, I’m being joined by our CFO, Nikolay Ivanov. And now let’s turn to the slides. I will begin my – by outlining key messages of today’s presentation followed by an update on our strategic priorities. I will then turn the call over to Nikolay. He will go through financial and operating results in detail and provide an update on targets for year-end 2017. So please turn to Slide 6. EVRAZ demonstrated a strong performance in the first half of 2017 while the global steel industry continued to improve. Majority of the market movements were driven by intensive capacity reduction in China. Steel and coal prices remained quite strong. Overall thanks to favorable market conditions and EVRAZ’s improvement initiatives, we delivered strong financial results. EBITDA almost doubled year-on-year and reached $1.152 billion. An additional effect of $111 million was realized through our 2 main improvement initiatives: cost-cutting program and customer focus. Debt reduction remains of paramount importance for us, and we are now at a much stronger position than a year ago. I’m very pleased to say that EVRAZ was able to reduce net debt by $5.5 billion, with net leverage comes down to 2.0 x. We also generated solid free cash flow of $546 million in the first half of 2017. After a comprehensive review of EVRAZ’s financial situation and based on the fact that free cash flow we have generated during the last 12 months was about USD 1.1 billion, the Board of Directors recommended an interim dividend of $0.30 per share, totaling USD 429.6 million. On the next slide, I’d like to emphasize that our basic priority, which does not depend on the market conditions, is safety. We deeply regret that 5 fatalities have happened in the first half of this year. We continue working with every employee to deliver our goal of 0 incidents. In this reporting period, as you see initiated the focus on the safety conversations program as well as on development – developing of standard operating procedures for top 10 key risk areas in each workshop. Turning to Slide 7. EVRAZ continues to pursue a vertically integrated business model. Therefore having low-cost operations is extremely important to us. In this reporting period, however, our cash costs have demonstrated growth due to ruble appreciation as well as raw material price surge. Slide 8, the key points to be emphasized here are delivering on our commitments. In 2017, EVRAZ’s strategic priorities remain the same: to focus on the business sustainability, develop the product portfolio, retain a low-cost position, make prudent CapEx investments and reduce debt. Customer-focused sales and product development policies are the key to sustained market leadership in infrastructure steel products and expand EVRAZ’s international presence. This year, customer focus initiatives generated additional EBITDA of USD 46 million. In the local market, group was focused on increasing the demand for beams and structural products, providing additional services and building long- term relations with the clients. The Russian steel market saw positive trends over the period, though competition in one product remains high. Despite all that, EVRAZ retained its strong domestic position and kept its market share. One important factor to mention here as well is that EVRAZ has signed a memorandum for a new long-term rail supply contract with Russian Railways. The efficiency program generated USD 65 million of additional EBITDA during the period through yield improvements, supply chain management, general and administrative expenses reductions and numerous projects to optimize operations. EVRAZ invested USD 110 million in development CapEx in the first half of 2017 with 4 main projects in progress. We focused on the construction of the blast furnace 07 at EVRAZ NTMK to maintain pig iron production volumes in the plant. The project is on track to be launched at the end of the year. The steelmaking upgrade and new large diameter pipe mill project in Regina, in Canada, were ramping up during the period, and clients are already benefiting from the increased capacity and improved product quality. EVRAZ has also started major construction award for the new ball mill project in EVRAZ NTMK. We are going to remain prudent with our capital expenditure, with a focus on product portfolio development as well as the improvement of our low-cost position. Despite the significant progress we’ve made with our debt reduction, we will continue bringing our debt further down. So to finish, we believe at full year results, we will be supported by the positive market trends in the global steel market. We believe that Russian steel demand will improve in the second half of the year, and domestic prices will follow the global trends. North American steel demand is also projected to remain strong. All of these expectations provide a positive outlook for the second half of the year. Now I will hand over this call to Nikolay Ivanov, for financial performance update. So, Nikolay, please.
Nikolay Ivanov: Thank you, Alexander, and good afternoon, everybody. There are a couple of things that I want to touch on in my today’s presentation. First of all, I would like to say that we demonstrated very good results in the first half of 2017 supported by the positive market sentiment and our efficiency measures that we continue to implement. Secondly, we were able to deliver strong positive free cash flow and demonstrated an ongoing discipline in debt reduction. Our maturity profile has improved significantly, and our EBITDA almost doubled year-on-year and we were able to reach our net leverage targets. On Slide 10, I would like to start with an overview of our financial performance, which has significantly improved over the year. Our half year EBITDA demonstrated almost 100% increase, mainly due to higher coal and steel prices as well as numerous improvement initiatives in the first half of 2017. Our EBITDA margin recovered to 22.6% in the reporting period. Strong performance of the Steel segment in the first half of 2017 was mainly attributable to higher revenues from sales of steel products, which rose by 52% year-on-year, largely due to an upturn in average sale prices. EBITDA demonstrated an increase of 38% year-on-year and besides favorable market conditions, was also impacted by cost-cutting initiatives implemented in the first half of 2017. The Coal segment benefited from high prices, healthy demand and productivity improvements. EBITDA tripled year-on-year and reached $659 million. The steel, North America segment EBITDA reached $14 million and was impacted by high coal prices, which were partially offset by increased revenues from railway products and flat-rolled product sales. Moving to Slide 11. Our free cash flow for this reporting period remained quite strong, $149 million, and allowed us to reduce our debt by another significant amount of $518 million. Net cash flow from operating activities amounted to $746 million in the first half of 2017, affected by cash outflow for working capital financing. Changes in the working capital are largely explained by an increase in inventories of finished goods and raw materials in the U.S. and Canada, which was driven by greater output in response to positive market sentiment regarding OCTG and rail. Moving to the next slide, Slide 12. Alexander has already elaborated on our CapEx and key projects, so I will not stop on this slide for too long. In the first half of 2017, EVRAZ’s capital expenditures increased to $289 million compared to $200 million in the first half of 2016, primarily due to the stronger ruble exchange rate against the dollar. 65% was spent on maintenance, 31% was invested in our Steel segment and 14% was invested into our North American business where we made good progress with 2 projects in Regina, in Canada. In total, EVRAZ invested $160 million in development CapEx in first half of 2017 and expects to spend another $141 million in the second half. Going to the Slide 13, I would like to discuss our maturity profile and refinancing initiatives undertaken in the first half of 2017, which allowed us to reduce total debt by another $392 million. The main points here are the following: We have prepaid tranches of $500 million syndicated pre- export financing facility due in 2017, an aggregate amount of $110 million, decreasing outstanding principal under this facility to $270 million. In March, we have issued $750 million Eurobond due in 2023, with 5.374% coupon. The proceeds from the issue were used to fund the tender offer for the Eurobond due in 2020. In May, EVRAZ North America called $345 million of its 7.5% senior unsecured notes due in 2019. In the view of the above-mentioned and other activities, our maturity profile is in a very good shape now, only $23 million maturing this year and just $472 million in 2018. Our average maturity rose to 3.5 years, and our average cost of borrowing decreased to 6.7%. Liquidity remained solid with $1,285 million in cash and cash equivalents. And we are also in full compliance with all our financial covenants. The next slide provides a vivid picture of our continuous focus on debt reduction. Net debt was reduced to $406 billion in the reporting period. Due to EBITDA growth and continued debt reduction, we also improved our major leverage metric, which decreased significantly during the first half of 2017 to 2.0x compared with 3.1x at the beginning of the year. In the last3 years, our net debt reduced – was reduced by $1.8 billion. On Slide 16, we summed up technical details of the dividend payment timetable for your convenience. What I would like to say is it’s a real pleasure for me to announce that EVRAZ reinstated dividend payments. Our results are very strong. The outlook for the year is rather positive. Plus, we have clearly achieved our target of 4.0x in the net leverage metric and have greatly reduced net debt and improving our maturity profile significantly. With this, I would like to thank you for listening to our presentation. We have a few slides on our operational performance further in the presentation, which we decided not to talk through, but instead, give you more time for your questions. And now, we are ready to take your questions.
Operator: Thank you, ladies and gentlemen, we will now begin the question and answer session. [Operator Instruction] The first question comes from the line of [indiscernible] Please ask your question.
Unidentified Analyst : Excuse me, it was a wrong dialing. I have no questions. Thank you.
Operator: The next question comes from the line of Alex Collins [ph]. Please ask your question.
Unidentified Analyst : I actually have a number of questions. I’m just going to ask them all at once. So the first question, so you’ve resumed dividend payments. I was just wondering how you’re looking at these payments going forward. Will there be a formal dividend policy, for example, tying it to EBITDA or cash flow? Or all of this will be looked at in the context of leverage? That’s my first question. My second question, I’ve seen some Bloomberg headlines about further asset sales, I believe used coke in – which I think is in the coal division. I’m just wondering if you had any further detail on that one. Looking at working capital, obviously we saw an outflow in H1. And I was just wondering what trends you were seeing in H2 and what we should be modeling this as? And then my final question in the financial statements, you note that you prepaid some bank maturities after the reporting date. And I was wondering if you could explain to us which – maturity splits for these repayments i.e., which bank debt is now no longer needing to come due. Those are my questions.
Alexander Frolov: Okay. So this is Alexander Frolov. I will try to answer the first 2 questions here, then Nikolay will continue. So speaking about dividend policy, I think it is on the agenda of EVRAZ board. However, it will probably take a little bit longer time for the board to decide what sort of policy will be the most relevant for our financial situation. And as you correctly said, debt reduction is – remains our first priority. And again, future cash flows would be primarily used for further deleveraging. So speaking above for used coke, it’s a coking plant which is located in Ukraine. It’s not part of the coal business. This company is using some of EVRAZ’s coal, but it’s not more than 50% of their license fee. They buy the rest from the market. So that’s why we don’t think that this asset is critical for our value chain. So we have been considering disposal of it for some period of time. We see now some opportunities to dispose, but I’m not prepared to give any further details at the moment. We would prefer to come to the market with the information when the deal is finalized. So then on the working capital and number 4?
Nikolay Ivanov: Okay. With regards to the working capital, yes, you’re right. There was some negative change in the working capital in the first half of 2017. And as I said, it was explained primarily by the increase in inventories in North America. And this was driven by the outward expansion in the view of a positive market for OCTG and rails primarily. We also had a slight increase in inventories in Russia, mainly on the back of high raw material prices. As for the second half of 2017 forecast, I assume that if there are no significant changes in the price for the key commodities and for steel products, we believe that the working capital will remain in the same area. So we do not expect any worsening or any changes in the working capital. And could you please repeat your first question?
Unidentified Analyst: Yes, so my final question was, in the financial statements, you note that you prepaid about $300 million of bank maturities in H2 already. I was just wondering if you could tell us which years you prepaid, or how that $300 million falls between say, 2018 and 2019, et cetera.
Nikolay Ivanov: Yes. The bank loans that we repaid relates to the years 2018 and 2019. And the key goal for such prepayments was refinancing of the expensive bank loans. So we got better terms on the new loans with regards to the interest expense primarily.
Unidentified Analyst: Okay that’s excellent call thanks very much.
Operator: Thank you. The next question comes from the line of Dmitry Nikonov [ph]. Please ask your question.
Unidentified Analyst: Alexander and Nikolay thank you for the presentation. Well, I got a couple of questions about your further bond issuance plans, if there are any. And so what are the plans for the new issue structure? So will the new bonds are going to be guaranteed by EVRAZ Group S.A. or EVRAZ plc or issued from these entities? And how are we going to overcome the structural subordination if the bonds are issued from EVRAZ plc? Thank you.
Nikolay Ivanov: Yes. It’s Nikolay. We don’t have any specific plans for any new bond issuance. If you look at our maturity profile, which is on Slide 13 of our presentation, you can see that we have no debts to repay this year and very little debt to pay next year related to the Eurobonds. Looking in the year 2019, you also can see that the majority of the debt we need to repay is the bank debt. So the first significant outflow really related to the Eurobonds is 2012. So currently, we are not planning any activities for refinancing the bonds.
Unidentified Analyst: Okay, thank you.
Operator: Thank you. The next question comes from the line of Vahe Ovasapyan. Please ask your question.
Vahe Ovasapyan: Hi. Alexander and Nikolay thank you for the presentation. I have a few questions. Do you want me to ask one by one or all together?
Alexander Frolov: You can ask all together.
Vahe Ovasapyan: Yes. The first question, it’s pretty much technical, but just want to understand, so if we use your income tax expenses in financial statement, which account to like for most of profit-before-tax, definitely, I believe this will not be the normal way. Just want to ask why it came substantially higher year-over-year. Or what do you think should be the normal – what do you think should be the normal tax rate for EVRAZ? The second question is about interest payments also in interest expenses in financial statement. If you analyze interest expenses and divide by, I don’t know, gross debt which you have on the balance sheet, it will be higher than cost of borrowings which you showed in the presentation, the Page 13, of 6.7%. So I just want to understand how do we need to see and view total interest charges, what – effective cost of borrowings we need to use in our analysis? And also I want to ask two questions to Alexander about – continue to ask about dividends, and the next one is about general and strategic view on the company because its dividends. You say, Alexander, that the reduction of net debt is the key priority. Yet if I’m not mistaken, I saw in the press release that you are comfortable with the current net debt to EBITDA level of 2x. Can I understand, do you see that if net debt to EBITDA remains 2x, the company will be able to continue to pay more free cash flow as dividend? Could we use this is as a key assumption? And the last one about strategic view on the company. If we take aside your Ukrainian steel or Ukrainian assets, do we understand correctly that you think that you mostly optimized asset portfolio? So we do not need to assume any potential for the sale of assets. That’s it from my side.
Nikolay Ivanov: Okay. Let me start. So the first – your first question was on income tax expense. Let me try to answer it. First thing you need to take into account is that our income tax expense was significantly impacted in the first half of 2017 with the transaction of the sale of Nakhodka Trade Sea Port. On this transaction alone we accrued the income tax equal to slightly more than USD 60 million. So that’s one of the things that needs to be taken into account. Speaking about our regular activities, we operate in different jurisdictions like Russia, United States, Canada, Ukraine, et cetera. And even operating in the same jurisdictions, we are operating through a number, a multiple number of different legal entities. So it such happened in the first half of 2017 that the majority of taxable income we generated was in Russian Federation. So for this particular taxable income, the tax rate on average is 20%. So if you need more detailed reconciliation, I will be happy to provide it off-line, but there are no any other unusual things here. With regards to the interest expense, another thing you need to take into account here, I don’t know if you took into account or not, but let me say, is that, we paid significant premium in the repurchase of bonds, on the tender offer for bonds, which we made in March of this year. So that is a one-off that needs to be taken off from the consideration. As for the rest, it’s just standard interest expense. There might be some small other costs there related to the payment of debt, but they are not significant. So 6.7% is our current cost of borrowings. We believe that it’s going to be – it will start to decrease later this year and in 2018. 
Alexander Frolov: Okay. Then let me continue, just to answer your last question first, regarding asset optimization. You could assume that no any major disposals are planned. So we believe that current consideration is solid enough and provide material synergies for the entire asset portfolio. Speaking about dividends and assumptions, you need to make further cash distribution. What I could say is that even though our current net debt-to-EBITDA ratio is 2.0 something, it doesn’t mean that longer term, our last 12 months EBITDA is under no risk. Because even though we are quite positive about second half, it does not mean that there is no problem in the steel industry. Because overcapacity still remains in place, and the markets remain very much dependent on the situation in China. And its now, Chinese are trying to reduce production volume of steel based on concerns with ecological situation, again what would be the impact or continuation of that in two years’ time, we don’t know. That’s why we believe that it’s not only ratio, but also absolute number of debt is important. And I would say that current whatever 4.3, is a little bit on high side. And just to finalize all what I was saying, what it means for me that each time when we make reporting whether it’s full year or semiannual, the board would carefully consider how to use free cash flow. And we will try to find an optimal distribution between the needs of the customer – company for capital expenditures, debt reduction and dividend to the shareholders.
Vahe Ovasapyan: Thanks a lot. Operator Thank you. The next question comes from the line of Barry Ehrlic. Please ask the question.
Barry Ehrlic: Yes. And thank you for the presentation and opportunity to ask questions. I do have a number of questions. First can you clarify what you mean by positive outlook for the second half, if you’re comparing it to any particular period, on what metric? Or just a general statement about the health of the market? On Slide 22, you show your coal product sales, which fell year-over-year and also was flat half-over-half. And you mentioned the sales volume fell on logistics constraints. Can you help us understand whether we’ll see that lost sales volume in the second half and what was it? And maybe give us – maybe remind us what your guidance was for production during the year. And then my next question is about – also about whether there has been any damage from the flooding that affected your shipments or any of your infrastructure. And finally, the Regina mill upgrade that are supposed to be completed this year, when will they be available? And do you expect there to be demand to run those new capacities? And what might be the contribution from them? Thank you.
Alexander Frolov: Okay. Let me try to answer your questions. I would probably regroup it in a slightly different order. So first of all, starting with logistic constraints. We are primarily speaking about shipments of coking coal and those constraints basically linked with good situation and high prices of the coal. Because as you know, demand in Russia remains stable, but at the same time all major coal producers in Russia, based on good market conditions at that time increase their shipments. And Far East is one of the most top destinations because basically, China is buying a lot of coal. And there is no problem to sell if you have material, at least for this period of time. So that’s why everyone basically rushed I mean to ship to Far East. And at the same time, capacity of railroads there is limited. That’s why, again, we have been facing strong competition with other coal suppliers to Far East. And it’s actually reflected to slightly lower shipments, which we have been expecting. I think that situation is improving recently. We are basically shipping almost as much as we can and as we want. Talking about recent flooding, it’s probably a little bit difficult to say because all shipments has – have been suspended for the period of few days. Most likely, everything will restart there very, very shortly. At the same time, we should not forget that normally, July, August and September are the months when a lot of maintenance are done by the railroads. And it also makes some pressure on the volumes which the railroad could get through it. So speaking about our confidence in the second half, first of all, just to remind you that our export sales we’re booking ahead of time. And basically, we are now sold for a good portion of September production. So the month which we did not yet – we don’t have control on the price in the fourth quarter of this year, and price dynamics is very positive on iron ore, on coking coal, on steel at the same time, and basically from my experience, this is actually a good signal for, I’m not saying long-term, but short-term growth. And we also see a lot of signals from China market where serious ecological measures have been announced. And for example, what we see, in particular for EVRAZ, for example import of Vanadium slag to China has been fully suspended just a month ago, which again makes a good positive impact on Vanadium prices. And again we’re seeing that similar situation will be around steel export, at least short-term. Then speaking about our reconstruction in Regina, I guess, that we have done there almost all the work. The only missing point there is installation of vacuum degasser, which will take place quite soon. So speaking about the impact on our profitability, I can’t give you simple numbers right now. The only thing what I could say is that all operational targets and cost-cutting targets of those projects are on the way, almost achieved. Would probably take another few months to get them up to full amount. So basically, we are quite positive with all what we have done there. And just one other thing, which is important that this revamping allows us to provide a wide range of wide diameter parts to our clients. This is actually very good thing for us to win more orders. And this is important under current market environment.
Unidentified Analyst: Great, thank you.
Operator: Thank you. The next question comes from the line of Andrew Jones. Please ask your question.
Andrew Jones: Hi, I just have a few questions. First of all, the North American division EBITDA was obviously still very low in the first half. So clearly, you’re seeing a turnaround in OCTG pipe markets in terms of available CapEx from the big companies and so forth. I mean, when can we – when do you believe we can start to see a sort of normalization in profitability in that business? And could you give us any guidance ahead of the second half about potentially volumes or what you sort of expect in terms of maybe sort of EBITDA or something like that, to give us an idea if we’re going to see any improvement in the second half? And also a couple of other questions on the disposal of Sukha Balka the – you had an initial $25 million down payment from that. But you were talking about the deal being sort of adjusted due to working capital and debt adjustments. How much do you expect to receive in cash net of any costs in the second half of that deal? And also on this coking plant in Ukraine, I know you can’t give us any details about potential price, but can you give us some details about the division itself? I mean, how much EBITDA did that generate in 2016, so we can have an idea for – for how valuable that asset potentially could be? And then just finally on the interest payments, you mentioned that some of the interest costs we saw in the first half related to these one-off costs that you paid to repay the debt. I mean, is it – just to clarify on 6.7% interest rate, is it fair to say that your interest payments going forward could be in the range of about $317 million a year on that basis? Is that sort of a normalized level as – in terms of what you see now, excluding any one-offs? Thanks a lot.
Alexander Frolov: Okay. Thank you for your questions. Let me answer first all your questions about Ukraine. So disposal of Sukha Balka, I think that the total consideration which we are going to receive for this asset is $109 million. And we don’t have any doubt that we’ll receive all the cash in the second half of 2017. So speaking about used coke, I don’t think that EBITDA of 2016 could give you any real feel about what sort of validation should be used for this asset, because if I’m not mistaken, EBITDA was below USD 10 million. But at the same time, it doesn’t mean that there are no buyers in the market for whom the amount of synergies might be very substantial and might lead to a price which will be interesting for us. And as I said, we have some ideas in mind and we believe that we would be able to realize them within a relatively short period of time. So then coming back to North American operations, you correctly mentioned that OCTG market is booming. We are basically running full capacity. We are increasing our prices every quarter of this year. We are fully sold till the end of the year. At the same time, situation around rails is not – has improved as well, but it is not so good as it was before. And rail volumes, we are going to sell this year, they are well in line with our budget. But at the same time, they’re little in 2015 and 2014 for example. So we see improvement, but it’s coming a little bit slow. Then also some uncertainty remains around large diameter pipe situation. Because if you’ve probably heard, there was a lot of speculation whether Canadian large diameter pipes which we produce would be really welcome in U.S. market or everything which was used in The United States might be probably used in The United States. We need a little bit more time to understand how the situation will develop. So that’s why it’s a little bit difficult to give any sort of firm forecast on what the numbers we will have for North American operations and what sort of, I don’t know, EBITDA margin and so it’s probably pretty much EU, even though normally we are not even giving such a forecast as our practice.
Andrew Jones: Okay, got it. And on the interest cost? I mean, just…
Nikolay Ivanov: Yes, and on the interest cost, again, the amount of slightly than – more than $60 million is the premium that we paid in the first half of 2017 on early repurchase of the bonds, which mature in 2018 and 2020, and also on repayment of $345 million of senior secured notes. So those losses in the amount of $51 million are reflected in a separate line of our statement of iterations under the line loss on financial assets and liabilities. And this amount is not taken into account when they calculate the average cost of borrowing of 6.7%. As for the approximation of what the cost – interest expense might be in the next year, again, it’s a more complex situation. Because again, as I said, we are not planning to repeat the tender, or we are not planning at this point in time to repeat the tender with the bonds in the year 2017 or 2018. So I do not expect we will see this additional expense in the near future. A good indication of what the –fair interest rate for us is again, the latest bond issue that we have is March, we received a record low of 0.375% interest rate. And the rates – the terms we are receiving right now, the quotes we are seeing right now was a bank that is even better than that.
Andrew Jones: Okay. Just on the interest, just looking at the $230 million of interest costs you report in the income statement. And based upon the average debt level just between the year-end value and the current value, that’s implying sort of over an 8% sort of average rate, should we say. Is – are there any ForEx or kind of those one-offs impacts in there?
Nikolay Ivanov: Yes. I see what you’re asking. It’s just not the interest expense related to the external debt. There are other things here which I mentioned. So it’s small charges, and it’s also the interest related to our pension liabilities and similar type of deals, which are also reflected in this slide. So it’s just [indiscernible] interest expense related to external debt and bank. That’s why probably you are assuming a slightly higher number than 6.7%.
Andrew Jones: Yes, okay thank you.
Operator: [Operator Instructions] The question comes from the line of George Buzhenitsa. Please ask your question.
George Buzhenitsa: Good evening, gentlemen. Thank you for the opportunity. I can see you’ve raised your CapEx guidance for 2017, which I believe, to an extent, is attributable to ruble strengthening. Assuming similar ruble for the next year, where do see your CapEx in 2018?
Alexander Frolov: I think it’s a little premature to say or as a simplest assumption it would be on the same level, even though we don’t have a detailed picture yet. Just to remind you the largest project we are actually working on now it is blast furnace number 7 in Nizhniy Tagil, which will be launched in – at end of this year. So basically, most of the CapEx will be spent already this year. And for 2013, I don’t think that we don’t – we have any major development project to be financed.
George Buzhenitsa: Thank you.
Operator: The next question comes from the line of Barry Ehrlich. Please ask your question.
Barry Ehrlich: Yes, apologies if you’ve mentioned this already. But can you just specify what is the new CapEx guidance? And can you provide us any details on the prior project you just mentioned about the blast furnace number 7, how – when you believe that will begin operating, and any other updates on it? Thank you.
Alexander Frolov: So I would say our guidance would be USD 600 million as a kind of round number. Then the second question, could you repeat it? I did not quite catch it. Sorry.
Barry Ehrlich: Yes, when exactly do you expect the blast furnace number7 to be operating?
Alexander Frolov : Director At the end of this year.
Barry Ehrlich: Okay, great thank you.
Operator: [Operator Instructions] The next question comes from the line of Andrew Jones. Please ask you question.
Andrew Jones: Just another question on the second half guidance. In Russia, could you give us some sort of idea on volume guidance for the full year? Because obviously there was some blast furnace downtime and so forth in the first half. Volumes were maybe a bit lighter than usual. Could you maybe give us some idea if potentially the finished products sales you expect in the second half? And maybe some sort of forecast on crude steel output, could you give us some sort of guidance around volumes in the main steel division? Thank you.
Nikolay Ivanov: Yes. This is Nikolay. We believe that the overall volume of steel sales this year will be similar to the level of 2016, maybe slightly above, but not less.
Andrew Jones: Thank you.
Operator: [Operator Instructions] Dear speakers, there are no further questions at this time. Please continue.
Irina Bakhturina: Okay. So if there are no further questions, I would like to thank everyone who dialed in for this call, and management for participation. If you have any further questions, please feel free to contact Investor Relations. Have a good day.
Operator: That does conclude our conference for today. Thank you for participating. You may all disconnect. Have a nice day.
Alexander Frolov: Thank you.